Operator: Good morning. My name is Emily, and I will be your conference operator today. At this time, I would like to welcome everyone to Avantor's Third Quarter 2025 Earnings Results Conference Call. [Operator Instructions] I will now turn the call over to Allison Hosak, Senior Vice President of Global Communications. Ms. Hosak, you may begin the conference.
Allison Hosak: Good morning, and thank you for joining us. Our speakers today are Emmanuel Ligner, President and Chief Executive Officer; and Brent Jones, Executive Vice President and Chief Financial Officer. The press release and a presentation accompanying this call are available on our Investor Relations website at ir.avantorsciences.com. A replay of this webcast will also be made available on our website after the call. Following our prepared remarks, we will open the line for questions. During this call, we will be making forward-looking statements within the meaning of the U.S. federal securities laws, including statements regarding events or developments that we believe or anticipate may occur in the future. These forward-looking statements are subject to a number of risks and uncertainties, including those set forth in our SEC filings. Actual results might differ materially from any forward-looking statements that we make today. These forward-looking statements speak only as of the date that they are made. We do not assume any obligation to update these forward-looking statements as a result of new information, future events or other developments. This call will include a discussion of non-GAAP measures. A reconciliation of the non-GAAP measures can be found in the press release and in the supplemental disclosure package on our Investor Relations website. With that, I will now turn the call over to Emmanuel.
Emmanuel Ligner: Thank you, Ali, and good morning, everyone. I appreciate you joining us today. As you know, I joined Avantor a little more than 2 months ago. I came on board because I believe this company has a tremendous potential. I have spent my entire career in pharma and life science industries, spending meaningful time on 3 different continents. I was fortunate to spend 2 decades at GE Life Sciences and Danaher, where I build out the Cytiva business significantly accelerated the growth trajectory of the platform and led its integration with Pall Life Sciences. During that time, I had a front-row seat to Avantor trajectories as a customer and supplier. I believe this experience enabled me to step into this role 10 weeks ago with a unique perspective on the company's strength and area for improvement. Throughout my career, the primary lessons I've learned is that there is no substitute for going to Gemba. This concept literally means visiting the place where work is done and value is created to learn and determine how to best improve our organization. And for the past 2 months, this is exactly what I have been doing. I have dedicated my time towards visiting our sites, meeting our people, speaking with dozen of our customers and suppliers across Asia, Europe and North America. This not only sharpened my initial instincts but also provided invaluable insights as we map out our strategy moving forward. I want to personally thank all the stakeholders for the warm welcome, open dialogue and trust that demonstrated for my first day in the role. Here are some of the important learnings. First, this is a great industry with strong secular tailwinds. Scientific collaboration is more important than ever. If you talk to any pharma or biotech company right now, you will hear about the multitude of ways in which they are harnessing the power of technology and AI to accelerate the next breakthrough discovery. That gives us a tremendous amount of confidence in the long-term trajectory of the end markets we serve and reinforces the importance of our positioning within the industry. Our recent announcement with BlueWhale Bio is a perfect demonstration of how Avantor is advancing innovation through collaboration, and we are committed to continue to do our part to facilitate the research, development, manufacturing and delivery of next-generation therapies. Second, Avantor has a solid portfolio, a committed global team and an incredible customer reach, serving more than 300,000 customers locations across approximately 180 countries. As someone that has spent considerable time in recent years working to scale life science businesses, those attributes will be the envy of most companies. We have significant untapped potential and numerous opportunity in front of us, and we need to capitalize on those opportunities. Third and most importantly, there are many things we can and should do better, and we are taking immediate action to turn the business around and hold ourselves accountable for rewarding the trust our investors place in Avantor. Starting from a commercial perspective, I believe our business is overly complex with unnecessary centralization, which inhibits frontline staff from most effectively meeting our customers and supplier needs and expectations. Customers buy from Avantor because of the quality and service heritage of our incredible brands, VWR, J.T.Baker, Masterflex, NuSil. Those are some of the best-known names in the industry, and our commercial team are not being sufficiently empowered to leverage the equity of those brands. On the operation and supply chain side, I believe we need to make some investment and process enhancement to improve our ability to consistently serve our customers. Overall, I believe those challenges are generally self-inflicted. And the good news is that they are fixable with determination, focus and time. At the conclusion of this call, I will share my preliminary thoughts on our plan for doing just that, which we are calling Avantor revival. With those initial finding in mind, we strongly believe that our current share price does not reflect the long-term value of our platform. To demonstrate our long-term conviction in the prospect of this business, our Board of Directors has authorized a $500 million share repurchase program with immediate effect, which we will pursue opportunistically moving forward, while also delivering on our commitment to decrease net leverage. Now I would like to turn over to Brent for a more detailed overview of our third quarter financial results and our updated full year guidance. Brent?
R. Jones: Thank you, Emmanuel, and good morning, everyone. I'm starting with Slide 4. For the quarter, reported revenue was $1.62 billion, which was down 5% year-over-year on an organic basis. This reflects weaker-than-expected top line performance, primarily in lab. Adjusted EBITDA margin was 16.5% and adjusted EPS for the quarter was $0.22. Free cash flow was $172 million with adjusted conversion at 124%. Turning to Slide 5. Adjusted gross profit for the quarter was $527 million, representing a 32.4% adjusted gross margin. This is a decline of 100 basis points year-over-year, driven mainly by price actions in lab to protect and grow market share. We had another quarter of solid cost control with adjusted SG&A expense better than planned and prior year. Our results also benefit from reductions in incentive compensation accruals. We remain on track with our cost transformation program and continue to expect $400 million in run rate savings by the end of 2027. Adjusted EBITDA was $268 million in the quarter, representing a 16.5% margin, better than our expectations. Adjusted operating income was $237 million at a 14.6% margin. Interest and tax expense were in line with our expectations. As a result, adjusted earnings per share were $0.22 for the quarter, a $0.04 year-over-year decline. Our adjusted EPS performance in the quarter reflects the flow-through of our adjusted EBITDA results. Our cash generation was particularly strong with $172 million in free cash flow in the quarter. When adjusted for transformation-related payments, our free cash flow conversion was 124% of adjusted net income for the quarter. In terms of our GAAP results, we took a $785 million impairment to the goodwill associated with our lab distribution business. This noncash charge was necessitated in large part by the continued weakness in our share price as well as the margin headwinds this business is facing. Our adjusted net leverage ended the quarter at 3.1x adjusted EBITDA, down 0.1x from Q2 as our strong cash generation enabled us to reduce net debt. Finally, we recently affected a very attractive refinancing of our near-term maturities and upsized our revolving credit facility to $1.4 billion and extended its maturity to 2030. Other than modest required term loan amortization, we now do not have any debt maturities before 2028 and all of our debt is either prepayable at par or at very modest call premium. Our debt is approximately 75% fixed rate and our current weighted average cost of debt is just over 4%. Let's now take a closer look at each of our segments on Slide 6. In Laboratory Solutions, revenue was $1.1 billion. On an organic basis, we declined 5% versus prior year, below our expectations of negative 2% to negative 4%. The market backdrop in lab is largely stable, and Corey Walker and his team have done a great job defending and expanding business at our largest accounts. The share losses we mentioned on our Q1 call have been phasing in over the past several quarters. The good news is that since Corey joined us in late March, we haven't lost any key customer accounts. And in fact, we have won about $100 million in business at 2 top 15 global pharma customers, which will start phasing in, in 2026. With that said, customer activity continues to be at lower levels than our original expectations for the year, driven by ongoing end market uncertainty related to basic research funding. Each of our lab businesses faced similar mid-single-digit headwinds on a year-over-year basis. Our distribution channel, which accounts for approximately 2/3 of segment revenue was primarily impacted by weakness in consumables and equipment and instrumentation, while our chemicals and reagents were essentially flat. Our services business, approximately 20% of segment revenue saw greater-than-expected headwinds due to the aforementioned share loss. And our proprietary business, the balance of labs revenue was significantly impacted by our science education business. However, our attractive proprietary lab chemicals grew mid-single digits in the quarter and similarly year-to-date. The primary drivers of our miss to expectations were headwinds in services and higher education and K-12. While market softness is a key factor in the quarter's performance, we also continue to navigate competitive pressures. These need to be better mitigated by improved commercial and operational execution, which, as Emmanuel noted at the outset, is one of our key priorities as part of Avantor revival. Adjusted operating income for Lab Solutions was $124 million for the quarter with an 11.3% margin. The softer demand environment has pressured our ability to get price, which has meaningfully impacted margins year-over-year. On a sequential basis, the primary driver of the margin decline was lower volumes and related absorption. Turning to Bioscience Production. Revenue was $527 million in Q3, down 4% organically on a year-over-year basis and at the low end of expectations. Bioprocessing was down low single digits year-over-year versus our expectation of flat. Within bioprocessing, process chemicals was up low single digits but was lower than expectations. The planned maintenance downtime that impacted Q2 was remedied during the quarter. But as Emmanuel mentioned, we continue to face other operational headwinds that are impacting our throughput, including raw material availability and equipment uptime. As an example, downtime at several of our plants prevented us from shipping several orders that were due for delivery in Q3. Absent these issues, we would have delivered our bioprocessing guide for the quarter. Single-use largely performed as expected and CEC was somewhat weaker than expected, down mid-single digits due to commercial execution and competitive dynamics. Year-to-date and in Q3, our book-to-bill is 1.0 for bioprocessing with particularly strong performance in process chemicals, where order rates were up high single digits in Q3 and year-to-date, while billings are only up low single digits, indicating a solid trend. Our bioprocessing order backlog reduced modestly from Q2 to Q3, but still is too high. The team is working hard to reduce this as much as possible by the end of the year. For the balance of the segment, silicones performed as expected and Applied Solutions had a stronger-than-expected quarter, up low single digits on significant strength in electronic materials that we expect to continue in Q4. Adjusted operating income for Bioscience Production was $128 million for the quarter, representing a 24.2% margin. Margin was down year-over-year, largely due to lower volumes and related under-absorption as well as higher expense related to our operational challenges. On a sequential basis, volume was the primary headwind, only partially offset by price and lower operating expense. Slide 7 shows our full year 2025 guidance. This has been updated to reflect Q3 performance as well as our best assessment of the current environment. We now expect full year organic revenue growth of negative 3.5% to negative 2.5%. Based on current FX rates, we expect a modest tailwind from FX of approximately 1.5%. Along with the 2% headwind from the Clinical Services divestiture, this leads to reported revenue growth of negative 4% to negative 3%. On a segment basis, we expect Laboratory Solutions full year revenue growth to be minus mid-single digits to minus low single digits organically, down modestly from previous expectations of minus low single digits. This implies Q4 organic performance of down mid-single digits. This change is due to the impact of Q3 performance as well as expectations for continued softness in consumables and in our lab services business. We also expect additional headwinds due to the impact of the U.S. federal government shutdown. We expect Bioscience Production's full year revenue growth to be minus low single digits organically, down from previous expectations of approximately flat. This implies Q4 organic performance of down mid-single digits to down high single digits. This change is largely due to reductions in our outlook for bioprocessing as well as customer pushouts in our silicones business. Bioprocessing is expected to be down low single digits for the year organically, down from previous expectations of flat to plus low single digits. This implies Q4 organic performance of down high single digits to low double digits. Recognizing this is a meaningful change, I want to break down our expectations across bioprocessing in a bit more detail. We believe process chemicals in Q4 will be flat sequentially versus Q3 and down double digits year-over-year despite solid year-to-date order book performance. We previously expected a mid-single-digit contraction in Q4 for process chemicals. This change is largely due to higher-than-expected backlogs as a result of the ongoing challenges previously discussed. Q4 is also a particularly tough comparable as process chemicals grew meaningfully in the double digits in Q4 last year. We anticipate single-use to be up low single digits, both sequentially and year-over-year in the fourth quarter. We previously anticipated high single-digit growth in Q4 for single-use. Controlled environment consumables are expected to be flat sequentially and down low single digits year-over-year. We previously anticipated this business to grow modestly in Q4. This business is being impacted by the competitive pressures and the general demand weakness we are seeing in consumables. Moving to profitability. We expect our strong cost controls and favorable compensation accrual impact to continue into Q4. As such, we expect full year adjusted EBITDA margins in the mid-16s. We have reduced our adjusted EPS guidance range to between $0.88 and $0.92. We still expect free cash flow performance of $550 million to $600 million before any onetime cash expenses associated with our cost savings initiative. The reduction in earnings from our previous guidance should be offset with strong working capital performance, and we now expect about half of the prebate payments anticipated for the fourth quarter to push into fiscal year '26. I also want to address near-term capital allocation. Much of our debt complex is prepayable at par, and we will continue to reduce outstanding debt as we generate cash. At the same time, with our new share repurchase authorization, we intend to buy shares opportunistically without increasing leverage. We ended the quarter at 3.1x adjusted net leverage, and we'll continue to move towards our leverage target of sustainably below 3x. With that, I will turn the call back to Emmanuel.
Emmanuel Ligner: Thank you, Brent. Clearly, we are disappointed with those results, and I am not here to make excuses of our underperformance. My focus is on addressing the root cause of those persisting challenges and implementing appropriate cost correction quickly. At the beginning of this call, I introduced the concept of Avantor Revival. Our Board and management team are fully aligned with this effort, which will initially focus on 5 key pillars. First, our go-to-market strategy. We need to evolve our approach to ensure customers and suppliers clearly understand our value proposition and complete product and servicing offering. As I mentioned in my opening remarks, we have an incredible roster of brands. Embracing VWR heritage as a leading distributor and a company heritage as a leading provider of fine chemicals and specialty materials, for example, is essential to drive growth. So we are carefully evaluating our brand architecture, and we are going to give more prominence to key product and channel brands moving forward. We also intend to refocus attention to our distribution business and our value proposition to supplier and customers. We also have work underway to analyze our and evolve our customer service and commercial organization. This work is really focused on empowering our sales representative to better serve our customers, however and wherever they want to be served. This includes enhancing our e-commerce platform. Second, we need to invest strategically in our manufacturing and supply chain organization. Brent noted the operational issue we are having. In bioprocessing chemicals, the demand is there, and we need to be better positioned to meet that demand at all times. The current state of our manufacturing and supply chain organization varies with some facility that are world-class, while others are in need of investment. Third, we will be carefully scrutinizing our portfolio to ensure a focus on our core business. We are going to hold each of our businesses accountable for delivering clear growth, profitability and return on investment targets. We are approaching this process with an open mind, but if any of those businesses are not capable of delivering those targets in a reasonable time frame, we are going to scrutinize whether we are the right owner for them. Fourth, we need to drive net cost savings and simplify processes across the organization. We are committed to being a business that generates strong operating leverage even as we invest in accelerating growth. And our ongoing EUR 400 million cost transformation program is an important step in that direction. However, we recognize that those savings today are not adequately falling through to the bottom line. Part of this is because we are still operating with far too much complexity today. We need to simplify our operating processes to remove barriers that prevent us from executing efficiently. Gaps in certain operating processes are contributed to inventory and forecasting challenges, preventing us from serving our customers at the on-time rates they expect. To address this, we are focused on improving leadership accountability across the businesses. We are establishing new operating norms and cadence that will ensure the leaders across our organization are aligned and focused on top business priorities. Finally, to help to do this, we must strengthen our talent and improve accountability in a few key areas. Very encouragingly, most of the associates I've met are deeply engaged and passionate about the work they do each day. They want the company to succeed. They are prepared to work hard and be part of the solution. They are looking for leadership and guidance on how to do that. To support those efforts and accelerate improvement, we will be bringing on new talent in a few key areas. A new Chief Operating Officer, a critical role that will report to me and help reinforce consistent manufacturing, supply chain excellence and lean operations across the organization. A new executive leadership position dedicated to the quality and regulatory function reporting directly to me, a strategic move, reflecting the critical role quality and regulatory play in safeguarding patient safety, ensuring regulatory compliance and driving operational integrity across our global business. We are also hiring a new Chief Digital Officer to help strengthen digital commerce capabilities with our Laboratory Solutions segment. Avantor revival will initially be targeted towards addressing each of those focus areas. Those important actions will help us drive meaningful changes and improvement across our organization over the next several quarters, but we are not stopping here. It is important to stress that those initial steps are based on my observation following about 2 months in the role. I'm committed to continue to meet with and learn from all our stakeholders. And as I do, rest reassured those plans will continue to evolve with a renewed focus on getting our performance back on track and creating value for our shareholders. Clearly, turning business performance around will take some time, but we are confident the actions we are taking will have an impact that will continue to grow over time. It's about driving simplification, process improvement and accountability across the organization. As I noted a moment ago, our Board and management team are 100% behind this effort. The recently announced addition of Greg Lucier to our Board and the elevation of Greg Summe as our next Board Chairman are demonstrative of our Board active oversight and engagement in this project. I know we must rebuild our credibility with the investment community and accountability will be my North Star. You can expect regular updates on our progress against those objectives. With that, I will now turn the call over to the operator to begin the Q&A session.
Operator: [Operator Instructions] Our first question today comes from Vijay Kumar with Evercore ISI.
Vijay Kumar: Emmanuel, welcome to your inaugural earnings call. Maybe high level, as you've reviewed the business, right, and you come with bioprocessing background, when you look at these declines, right, what is your confidence that these are fixable, solvable issues? And I'm curious on how the quarter played out, right, relative to your prior expectations was the quarter -- did progress in line? And did things worsen in September, October? I'm curious when did these issues crop up?
Emmanuel Ligner: Thanks, Vijay. Thanks for the kind welcoming word. Look, first of all, I'm confident that it's fixable. Over the last 2 months, I really spent a lot of time on the field with the people, with our customers, dozen of customers and suppliers. And I think the first thing which I was really, really super pleased about is the conviction by the people that they have the passion about the brand. They have the passion about the product, they have the passion about the customers. What the team needs is really leadership. And I think on the quarter, look, it is a very disappointed numbers. There's absolutely no doubt about this. And there's no excuses about the fact that we just dropped the ball on a couple of areas. And again, I think I shared that around the S&OP it's really about a better communication. It's about visibility. It's about execution. It's about accountability. And that's why Brent and myself are putting new norms, new cadence to make sure that the team is really working together. I think, again, it is fixable. Those are just the 5 pillars that I just identified in my first 8 weeks. Then of course, we'll continue to learn. We'll continue to speak with the key shareholder, and we -- this plan will evolve without any doubt.
Vijay Kumar: Understood. And then, Brent, maybe one for you on -- when you look at '26, some of your peers have given outlooks right in the low single-digit range. Is -- can the business grow in 2026? You mentioned $100 million of lab contribution. On paper, it looks like lab should grow in bioprocessing, it feels like some of these were unique customer situations that was largely tied to fiscal '25, and it should grow. But can the business grow at a high level in '26?
Emmanuel Ligner: Vijay, Emmanuel again. Look, I'm taking a fresh look at all the numbers, right, because I want accuracy. And so let me look at those numbers again, and then we'll come back to you when we have a good understanding of 2026.
Operator: Our next question comes from Michael Ryskin with Bank of America.
Michael Ryskin: I appreciate all the candid color during the prepared remarks. You touched on share losses and competitive dynamics briefly in the prepared remarks, but just talking about 1Q, 2Q dynamics. Can you talk about that a little bit deeper? I mean, I think it's pretty evident based on the results over the last couple of years, especially in the Lab Solutions segment, but also in Bioscience, there's been pretty deep share losses to your competitors. I appreciate all your color on operational steps to fix that. But given the portfolio and given the markets you play in, how do you plan to stem that tide of share loss? And just -- could you just give us some confidence in visibility to correct that because that seems to be sort of the biggest structural challenge you're facing.
Emmanuel Ligner: Yes, Michael. Look, it's my understanding, I think we've lost some share without any doubt in the lab services business. Here's why I'm super encouraged is we have Corey that took the lead of this business 6, 7 months ago. And what is -- what him and the team is doing is really having, I will say, a fighting spirit back. And what we have observed over the last 6 to 7 months is that we have not lost any new renewal of any large key account contracts. And I think this is really important for us. And on the contrary, we have the opportunity to grow our share of wallet in those accounts. Now we have some barrier that we need to fix and some challenges. I mean, e-commerce is one of them, and this is why we're taking really a quick action to recruit Digital Officer to help us to really get this e-commerce platform to engage with our customers in a much more leaner way to provide not only product but really workflow, which is so important for the customers. On bioprocessing, my view is the following. Really, our key product line in the bioprocessing is our bioprocessing chemicals. And when we look at our order intake year-to-date, our order intake is on a high single-digit level. So we're there. I met customers that clearly said to us, we want to work with you. We want to do better. We can give you more businesses. We need to fix a couple of things like our service level, in particular, our on-time delivery. And this is why it's so important to work on the S&OP to look on the different plants that need upgrade, and that's what we're doing, and we are doing as fast as possible on this.
Michael Ryskin: Okay. And if I can have a follow-up. On the Avantor revival dynamic, I mean, I think that's certainly resonates. You called out a couple of times that you believe the business is overly complex, unnecessary centralization. We've heard that from a number of our channel checks as well. What are the steps to fixing that, right? I mean it's a huge organization. There's a lot of levels. It seems like there's going to be some deep changes there. But from an operational perspective, that seems to be the easiest 6. But could you talk us through the process to get there and how long that could take?
Emmanuel Ligner: It's really early days for me. I remember. So look, we are going to start to really work on the go-to-market, really understand how we can decentralize more of the decision-making closer to the customers. And as you know, there's different regions with different dynamics. And so we really need to empower the local team to really drive the decision. I think the other thing is, look, we have 2 really important business. One is our lab services. It's VWR. It's a distribution business. We have a very strong brand there. And then the other one is about science business with brands like J.T.Baker. I think we need to make sure that those brands are more, I would say, front at the customer's level to make sure that we engage with the customers with the brand they want to work with. The observation that I have, Michael, is many customers told me, we love VWR. We want to continue to work with VWR. Some even say, well, we didn't know that VWR was part of Avantor. And that's why I'm talking about brand revival and really making sure that we are improving our engagement with the customers. Service level is very, very important, okay? And this is why we are looking at what do we need to do in the plant which are need of investment to make sure that we raise our service level on the bioprocessing. Again, as we said earlier, the demand is there. It's for us to really make sure we operate better.
Operator: Our next question comes from Dan Brennan with TD Cowen.
Daniel Brennan: Maybe just to start on the lab side of the business. Could you just describe -- I know you discussed pricing in the opening remarks. Just give us a sense in 3Q and kind of 4Q, how we think about that price volume mix, if you will? And then kind of any thoughts? I know you're not ready to talk about '26, but is the assumption that price gets better? Just any visibility on that? And then maybe the second part would just be more strategically, as you've looked at -- since you've been on board, you've looked at the lab market. Obviously, you've talked about share loss, but you studied that now recently. Any way to characterize in that context, like how much share you think VWR has lost over the last 2 or 3 years? Just to give us a framework for if you're able to kind of regain that sort of stabilize it, what the opportunity might be?
R. Jones: Okay. So on the price volume dynamic, I mean, certainly, in connection with the comments and share on that, there is some down volume. We are getting price, not exactly the levels we'd like to see, but we're certainly seeing price coming through. And we expect a similar dynamic in Q4 on that. So -- and when you look at Q3 performance sequentially to Q4, the main dynamic in lab is a modest increase really related to number of days and seasonality in Europe there. So what you're really hearing from us is stability through Q4, and that dynamic will continue on the pricing side as well.
Emmanuel Ligner: On the market share, look, I think we've lost a couple of large accounts, and we know them, and that's something which is tracking. And I think what is important to understand is when you lose a key account contract -- the time that it takes to lose this account as there is many, many different sites around the world, it takes time. And the same way when you renew a contract and then you have an opportunity to grow your share of wallet, it also takes time to ramp up. This is where the commercial effectiveness is very important because you go at every single lab, convert the customers. So either from a loss standpoint or from a gain standpoint, the dynamic drag on several quarters. And I think that's where we are. So this is sometimes where it's difficult to really evaluate the amount of market share that we've lost. But we know the contract that we've lost in the past.
Daniel Brennan: And then maybe just on bioprocess, Emmanuel, since you've got such significant domain experience there. Just kind of how would you characterize the Avantor portfolio today? I mean, when you think about this market recovering, consumables, I think, have been growing double digits, equipment is still under pressure from a market basis. How do you think Avantor is positioned with their current portfolio as we look ahead into, say, the next 12 to 24 months? Can they get back to market growth above or below? Just what are the key variables there?
Emmanuel Ligner: It's a great question. Look, I'm super excited about the portfolio we have, in particular, around the chemicals, acid base, we have adjuvants. So we have also viral inactivation products, which are proprietary. So we have really good portfolio, and I think we have a good commercial team. And again, as I said, our order intake year-to-date is high single digits. So basically, it gives me the confidence that the demand is there. It's for us to make sure that we serve the customers better and all the customers that I've met are super satisfied with that part of the portfolio. So I'm confident that the portfolio is good. And also the recent announcement we've made like BlueWhale is very encouraging about the fact that we will continue to collaborate with strategic innovation that will give us a differentiated portfolio in the future. So quite exciting about the bioprocessing portfolio.
Operator: Our next question comes from Luke Sergott with Barclays.
Luke Sergott: I appreciate all the updates and everything you're thinking about. But as you think about when you're looking at '26 and the overall market rate, just relation to how you guys are going to grow, what's your outlook for the market, I guess, given that the underlying demand that you've seen, especially across what your peers have said, too.
Emmanuel Ligner: I think on the peers comment, we need to look at apples-to-apples. And again, I think what is important for me is to make sure that I remind everybody that our portfolio on bioprocessing is really primarily around chemicals, okay? So it's a unique differentiated portfolio, especially from the company that I'm coming from. And so I think it's very important that we think that it -- as of today, year-to-day, the direction is order intake, high single digits. What I need to do is I really need to take a fresh look at the 2026 numbers, the market, what we think we can do, what's going to be the impact of the 5 pillar of revival plan, how fast we can get some impact on this. Some will have an impact quickly. Some will take more time, and I'll come back to you as soon as I have a better view.
Luke Sergott: Okay. I was just trying to figure out what your overall outlook for the -- for your particular market looks like. And then we can kind of make the assumption there on what you guys can do from a growth perspective -- that's fine. I guess just from a follow-up here, you talked about the bioprocessing plant, the downtime there. Is this -- what is this due to? Is this just like a planned regular maintenance downtime that you guys had? And do you need -- you talked a little bit about kind of building some redundancy. Is this what you're kind of referring to so that you don't like miss out on the quality and the reliability that, that market completely relies on is number one.
Emmanuel Ligner: Look, I visited several of our chemicals plants. We have really world-class plant. super modern, very well run with a very, I would say, dedicated team. Some are just in need of upgrade, okay? And so some of the tools are a bit old, and so therefore, they break down. So they give us a bit an unreliability of on-time delivery. So service level for some plants are excellent. Some are not where we should be. And this is what I'm talking about strategic investment. There is some investments that are needed. We need to be very surgical about this. And that's just, I will say, on the plant themselves. The second thing is about the processes. It's about how do we give visibility to the plant of what's going to be the demand, having a good understanding that the plant are putting in place, the planning to make sure that the product will be delivered as the customers requested and then, of course, at the quality, which is requested. So it's really around the processes that today are not as simple as they should be, not as smooth as they should be and with a bit also of lack of accountability. So strategic investment on one side. And I think it's also about talent. One of my remarks was about the fact that the team is super passionate and want to do well and they want to fix the issue and they want to do better, they need direction. They need someone which is going to help them to focus and they need leadership. And this is also why we are far advanced into a recruit of a Chief Operating Officer, someone which have a global experience, a long-term experience of leading different type of plants, including chemistry plant, someone which is a black belt, someone that have a lean mindset, a productivity mindset. And we are in the final stage of that recruitment. That will really help as well the team to drive and improve plant performance.
Operator: Our next question comes from Tycho Peterson with Jefferies.
Tycho Peterson: I want to go back to the pricing question earlier because I think it's an important point. I think the message coming out of last quarter and admittedly, Emmanuel, was before you started was that Avantor was willing to trade price to hold share. That's not what we heard from Brent a minute ago. So I guess, are you committing to actually taking price in the lab market next year? And can you maybe quantify what you're expecting there? Because I think that was a very different message than we heard coming out of 2Q.
R. Jones: Yes, Tycho, just to be clear, I mean, we -- I mean, there are raw materials and there are -- there's inflation in the channel. We are getting priced against that. The margin pressure you're seeing is the differential from the price to the COGS. I mean there -- so when we've talked about also giving price to drive share in that, it's relative to the inflation against the products we're selling. So it actually is the same message, but I take your point on the nuance. And look, it's -- in the lab, we've continued to say that we're about accreting operating income there. And we absolutely are doing the actions to drive volume, to drive share in that connection, the new contracts, which, as Emmanuel made the comments, we're seeing the impact of the contract losses on share there. It will take time, both on the defense and the new contract wins to see those come in there. But we absolutely are looking to accrete operating income and then obviously, over time, margin.
Tycho Peterson: Okay. And then a capital deployment question. I mean, given everything going on and it's still early days, Emmanuel, why is this the right time to be buying back stock? That's a little bit confusing given that you're just kind of stepping in here. There's a lot of moving pieces. It's still a volatile backdrop. Maybe talk through the rationale of the buyback right now.
Emmanuel Ligner: Well, look, Tycho, we believe our current share price really does not reflect the long-term value of the company, especially in the turnaround. So the program is just basically to make sure that we demonstrate our commitment to the long-term value of the company, okay? And with our confidence to the business, confidence about the fact that we can turn around the performance with revival plan. We -- look, in terms of capital allocation, M&A is always an opportunity. But when you bring M&A, you need to make sure that you're going to bring the company into a company which is operating really, really well, all right? Integration of an acquisition needs to be done with the team which have simple processes, which have really great talent in that are going to be able to execute the acquisitions and the integration super well. And so I think right now, it's just a conviction that the business is going to do better, that we are going to turn it around. And I think it was the right message and the right things to do.
Tycho Peterson: Okay. And then last one on Bioscience. You quoted a number of kind of shipping timing issues. Are you assuming those come back in the fourth quarter? It was a little bit unclear what's actually baked in the guidance from a kind of timing and recapture perspective.
Emmanuel Ligner: Yes. I think the team has already started to do some good job in Q3, but not enough, and we'll continue to do so. So yes, we're going to see some improvement in Q4. But as I said as well, some of the plants need some equipment investment, and those things sometimes take some time. So we're working as fast as possible. You have my commitment to really focus on executing the demand as much as possible and as fast as possible.
Operator: Our next question comes from Patrick Donnelly with Citi.
Patrick Donnelly: Brent, maybe a follow-up on the pricing side. You certainly understand some of the cadence there. Can you just talk about, I guess, the moving pieces on margins, just high level as we get into next year in terms of what pricing rolls through next year and has to annualize and pressures margins versus some of the offsets? What levers do you guys have to pull? Obviously, you've done some cost-out initiatives over the last couple of years. How much more room is there on that front versus some of the pricing pressures? Maybe just the high-level moving pieces on margins would be helpful.
R. Jones: Well, we'll -- important question, Patrick. And per our other comments here, probably won't make a significant comment into '26. But when you think about our margin dynamics broadly here, gross margin down year-over-year, largely driven and following on the Tycho question, we are getting modest price against it, but we're absorbing more inflation. So that's been the primary driver of the lab pricing into the gross margin. Now on a sequential basis, you saw pressure in gross margin. That was more just mix of the relative businesses because we didn't have the same level of growth in Bioscience as well as -- look, primarily there on the business basis and continuing on that. Look, Emmanuel made the comments that we need to continue to drive at cost broadly and get that cost out rather than offset inflation and offset FX. And the -- but when you think about key drivers here, obviously, getting price and getting price against COGS are really important in the business. The differential segment mix is really, really important. And that hurt us in Q3. And then finally, productivity, which to project revive to -- Avantor revival, Chief Operating Officer, driving better productivity at plants. Those will be key parts of it. And when we come with the views on '26, that will certainly be wrapped in our commentary.
Emmanuel Ligner: Can I just add something, Patrick? Yes, go ahead. I'm absolutely committed to really improve not only the top line but also the bottom line, right? We need to be an operation which is leveraged. And so this is what we're going to do. So part of the revival of course, we talked about simplification processes. It also means productivity gain. That is going to be very, very important. And I think that we will make sure that the entire leadership is really focused behind this.
Luke Sergott: Understood. And maybe just a quick one on the academic government side. You touched a little bit on it in the prepared remarks. What are the expectations there? Obviously, you have the government shutdown. You guys have some exposure there. Maybe just talk about what you're seeing on that front and what the expectations are going forward for that market, a lot of noise there. I appreciate it.
R. Jones: Yes, Patrick, you saw we were down in academic and government in Q1. We had a nice up mid-single digits in Q2 and then down double digits in Q3. And I think, frankly, we saw some of the pent-up concerns come through in Q3. Significant impact was K-12 before the school season started there as well as other softness that we saw through consumables in the form of higher ed there. We -- the U.S. government shutdown is certainly going to exacerbate that. That is really a key driver of the reduction of the lab guidance for Q4 and for the year down to the mid-single digits, that differential as well as the headwinds to consumables. But we're certainly forecasting that to continue to be somewhat challenged.
Operator: Our next question comes from Doug Schenkel with Wolfe Research.
Douglas Schenkel: A few questions. Emmanuel, it's only been 8 weeks. There's a lot going on here. Is it reasonable to expect you to outline your full assessment and strategic framework by early Q1? Or is that too aggressive? So that's my first question. My second is really for Brent. Emmanuel talked a lot about new hires and investments. Revenue growth is likely to remain challenging for the next several quarters. Margin comparisons are notably tough in the first half of next year. So when I just look at that fact pattern, my words not yours, given you don't want to talk too much about 2026, but it just seems hard to see a scenario where we would get meaningful EBITDA expansion in 2026, maybe no expansion at all given those 3 observations. Is there anything you think I'm missing? And then really, the last one is for both of you. Recognizing it's been a tough period for tools in terms of downward estimate revisions. I think the challenges, to be fair, have lingered a bit more for Avantor than for most of the group. Clearly, visibility and forecasting has been a challenge for you guys in the past few quarters. Do you think this is systems and requires more investment? Or is this more a function of just competitive dynamics maybe evolving in a way that you didn't anticipate?
Emmanuel Ligner: Doug, thanks for your question. Look, I think in terms of timing, when I came, I spoke with the Board, I spoke with the team and I say I needed 100 days to really learn the business, meet everybody that I could, all the stakeholders, our people, the customers and a few main investors. And look, after 60 days, I already need to be in action because, first of all, there are some few things which are absolutely obvious, some challenges that we need to fix, and that's what I shared with you. And indeed, in Q1, I'll come back with you with further thoughts and with further strategic vision, absolutely. I'll let Brent answer the question, then we'll come back to the other part.
R. Jones: Yes. Look, you're -- I mean, you're absolutely there on the facts, and those are the harder comparators if you look at the trend of this year. I would just go back to one -- we don't want to signal a lot about '26 now because there's more work to do there. But again, it's about driving revival and not just how it impacts operations, but also purely on the cost to serve and getting to the top line and the conversion. And beyond that, we'll update you when we talk about '26.
Emmanuel Ligner: And Doug, on the market, my sense is the following. I think production is solid. I think in the R&D aspect from an academy standpoint and even from a pharma, there is some uncertainty and uncertainty is never good. But so I would say it's a mixed market dynamic.
Operator: Our next question comes from Dan Leonard with UBS.
Daniel Leonard: My first question is on the revival program. Emmanuel, can you frame the cost impacts of that program? It seems like there's a lot of extra money to be spent on e-commerce, on investment needs in manufacturing, on new hires. And I'm just trying to think about how to balance that with margin objectives.
Emmanuel Ligner: Dan, thanks for your question. Look, I think it's early days for me to really put a number to it. We are really pushing the program as soon as possible and making sure we make our plan. I don't want also to rush on giving you a number, which is not accurate. Look, I really want to gain accuracy about numbers, any numbers that we're going to put in front of you. So let us put the plan together, let's say, review the plant let's make sure that the plan will have an impact. And I think it's back to a further question earlier, I really want to give you answers about how much, when, what we will see by when. It will take several quarters without any doubt, but it's early days for me. So let me come back to you when we have a precise plan and accurate number.
Daniel Leonard: Understood. And then a follow-up. You referenced a couple of large clients you lost from a share loss perspective. How would you characterize the risk of further big share loss? I can't imagine you have large contracts that turn over every year. Are we in a period of stability now for some time? Or are there further just big opportunities ahead in either direction?
Emmanuel Ligner: That's a great question, Dan. Look, what I've discussed with Corey and what we've discussed with the team is that most of our very large key account contract has been renewed. We've kept them. And on the contrary, we have opportunity to gain share of wallet in those accounts. So I think we are in a much more stable position right now. However, as I explained earlier, the loss that we've seen in the past, they're still having an impact on us, okay? It takes time for those large contracts to switch over the same way that it takes time for us to ramp up the share of wallet gain. So I think we are in a much more stable area. I think Corey is a very good leader that is bringing a lot of rigor in the business. And from that standpoint, I'm confident about the future of the lab business.
Operator: Those are all the questions we have time for today. And so I'll now turn the call back over to Emmanuel for closing remarks.
Emmanuel Ligner: Thank you, Emily, and thank you, everybody, for joining us. Today, we just outlined the beginning of our, I will say, next chapter called Avantor Revival. I want you guys to remember and to know that we are moving with urgency to improve our performance. I want to regain your trust. I want to be accurate. I want us to be accurate, and I'm looking forward to give you further updates on our progress in the next quarter. Be well, everybody. Thank you.
Operator: Thank you, everyone, for joining us today. This concludes our call, and you may now disconnect your lines.